Operator: Good afternoon, ladies and gentlemen, and welcome to the AngloGold Ashanti Q4 2025 Earnings Release. [Operator Instructions] Please note that this event is being recorded. I will now hand you over to Mr. Stewart Bailey. Please go ahead, sir.
Stewart Bailey: Thanks, Judith, and welcome, everybody, to our full year and Q4 results call. As always, Alberto and Gillian will walk through the presentation but you do have other members of our senior leadership team that will be on hand for the Q&A afterwards as needed. I direct you all to the safe harbor statement at the beginning of the presentation, which has got important information regarding forward-looking statements. Without any further ado, I'll hand over to Alberto.
Alberto Calderon: Thank you, Stewart, and welcome, everyone. Let's start, as always, with safety. We achieved our lowest ever lowest total recordable injury frequency rate at 0.97, 0.97 injuries per million hours worked. This was the first of a number of records set last year and by far the most important. It is another key milestone on our safety journey, again, outperforming by far the ICMM member average. Our main aim remains to ensure complacency doesn't creep in that we never stop learning from our mistakes and that we are diligent in applying these lessons. This morning, I heard a podcast on our results on AI. They did a great job but one thing that caught my attention, they talked about safety but then they did tie it to the next part of the presentation. Such low levels of safety lead to operational excellence. It means you have more planned maintenance. It means your processing plants are working like they should. You could never achieve the level of operating excellence without operation, the safety statistics that we have. So it is for us our highest priority but it also leads the way to operational excellence. I'm proud to report a strong set of numbers for Q4 and the full year. We set new records in cash flow, earnings and dividend declaration. In the final quarter, we generated free cash flow of more than $1 billion. That's the most ever and more than 3x what we generated in the same quarter last year. As a result, we've declared $875 million to shareholders as a dividend in Q4 alone. What we can control, we continue to control very well. That's clear, especially when you look at our managed operations with higher contribution from Sukari, Obuasi, Siguiri, Geita and Cerro Vanguardia. It's worth highlighting that we also produced 3.7 million ounces of silver at CVSA in Argentina. On the other side of the ledger, we saw lower production from Iduapriem and Sunrise Dam. Obuasi delivered a steady on-plan performance with improvements in recoveries and tonnes treated. Total costs for managed operations were only up 5% on year. This is the fourth year in a row where our cash costs are lower than inflation and royalties. So basically, we have had in real terms, flat cash costs since 2021, the only company in the sector to have been able to achieve that. Cash flow of almost $3 billion was up 204% year-on-year. Adjusted EBITDA grew 129% and headline earnings were up 186%. The balance sheet is in excellent shape. Even after record dividend payments, we were able to turn $567 million of net debt at the end of 2024 to $879 million of net cash at the end of 2025. We have ample liquidity and no material near short-term maturities. We've been clear that shareholders who have patient -- who have been patient through the commodity cycle must see direct benefit from this improved performance. That requires the guardrails of a clear capital allocation framework and a competitive dividend policy. As a reminder, we are 1 year into our new dividend policy. It provides for a set of quarterly payout of $0.125 per share or around $63 million. It also provides for an annual true-up payment, bringing the payout to 50% of free cash flow. In Q2, we took the decision to make an additional payment of $350 million. That takes our Q4 dividend to $875 million and our total payout for 2025 to almost $2 billion. That approach takes us to a net cash zero at the end of 2025. It speaks to the strength of the cash flows from our business and to our confidence in the outlook as we pay out substantially all of the cash we generate this year. I want to emphasize this point because that's always in the questions, what are you going to do? Are you going to be to net cash positive? And I think this is a statement of our confidence in the future but the fact that we bring net cash to 0 at the end of '25. We will see what happens this year. We will see what we do at the end of the next year. But I think that we have set significant precedents in terms of how we deal with quarterly dividends. And I think this is another milestone for us. With Obuasi continued to ramp up our Tier 1 assets now account for more than 70% of production and 80% of reserves. The 2025 results reflect the first full year consolidation of Sukari's operation with a significant impact on both our financial and operating performance. At the same time, our Tier 2 assets continue to deliver strong results with margins well ahead of where our Tier 1 mines were a year ago. A healthy margin and exceptional cash flow leverage are visible across the portfolio, reflecting an active management approach. Completion of the Serra Grande sale on December 1, 2025, will ensure we can further sharpen our focus on the core business. At Obuasi, we delivered what we said we would, producing 266,000 ounces, up 20% year-on-year. The result was supported by our investment in ventilation, material handling and better equipment availability that we're working hard to sustain. It also showed meaningful progress on our technical proof of concept. Underhand drift and fill is working in the high-grade zones and lateral development, which is key to underhand drift and fill is advancing. We were up actually 34% between Q1 of 2025 and Q4 of 2025 in lateral development. And that sets us in a very good stage for our forecast guidance for 2026. We aim to grow production again in 2026 to over 300,000 ounces alongside a commensurate increase in cash flow contribution. Just on the side, this Obuasi produced about $1,300 of free cash flow per ounce in 2025, which was double, for example, what Kibali, our non-managed operation produced in 2025. It's quite a turn of events from what was happening 4 years ago. Sukari is a Tier 1 operation by every measure, record delivery, strong margins and exceptional operational stability. It also has a world-class operating team that has shown itself to be hungry to improve the asset and to benefit from being part of a larger business. They are thriving in a more competitive and supportive environment. 2025 was a record for Sukari, delivering its best ever production and enormous cash flow. In fact, when you look at the net acquisition cost for Centamin after stripping out the sale proceeds for ABC and Doropo, and the cash on the balance sheet, we generated almost 1/3 of the purchase in our first year as owners and the best is yet to come. The integration is fully complete. The full asset potential team has completed its first pass. We have identified a raft of opportunities to increase value from almost every perspective. We see opportunities, the most significant expanding the underground from 1.2 million tonnes moved to 2.3 million on higher grade ore. We just need to develop a new portal and expand the fleet, and we will talk about this in another asset, the impact of the most important idea that wasn't covered in the full asset potential. But there were others, a small heap leach project, improved efficiencies and better recoveries in the plan, just to name a few. From a geological perspective, the ore body is still open with potential to add ounces, and we will be increasing our budget for exploration -- brownfield exploration during 2026. Essentially, there's opportunity wherever we look. While we generated record cash flow, we are aggressively drilling to secure tomorrow. It is worth remembering that we have the industry's top exploration team. They continue to deliver exceptional exploration results across our portfolio, replacing depletion and upgrading resource confidence. This slide breaks down our mineral reserve numbers. We had another very strong return from our brownfield exploration program across a range of assets. We added 10 million new ounces of reserves, more than 3x our depletion. And yes, Nevada added 4.9 million with the first time reserve from Arthur but it wasn't the only one. We also showed a good spread from our operating assets, about 2 more million after depletion with net additions at Geita, Obuasi, Iduapriem, Cuiaba and Kibali. At Geita, which has been a particular focus for us, most of the 1.3 million ounces are in the open pit. Mining is a long-term game, and it's important to zoom out to look at the returns over time. Over the past few years, we've added almost 23 million ounces at an average cost of about $47 an ounce. That value is hard to beat. The holy grail for any gold company is a Tier 1 discovery in a low-risk jurisdiction with long life and strong growth potential. Our Arthur Gold project is just that. What started only a few years ago as an ambitious exploration thesis in the BT district has now evolved into one of the largest and most significant greenfield gold discoveries of this century in the U.S. Today, it transitions from a discovery into a major high-return project. The first-time mineral reserve of 4.9 million ounces is just the top of the iceberg given the much bigger resource in the project area. I probably remind everyone that we complemented our original land position with 3 acquisitions that were very timely from Corvus, Coeur and Augusta, and that really allowed us to consolidate what is probably the most important discovery and land position in Nevada in decades. Let's take a step back and look at the project. Arthur is a fully consolidated district scale opportunity comprising the Merlin and Silicon deposits. It's a large-scale continuous gold system. It features broadly disseminated mineralization alongside high-grade vein system with thickness reaching about 150 meters. The mineralized footprint is extensive, measuring approximately 2.7 kilometers by 1.3 kilometers. The deposit, which is largely oxide is highly amenable to both mining methods and conventional processing. We see a clear geological connection between Merlin and Silicon. There is significant room for continued mineral resource expansion to the west of Merlin and down deep and to the north at Silicon. In fact, Merlin remains completely open to the west and south, and we have a drilling program underway to support further resource exploration. The study envisages a conventional oxide gold mill with carbon and leach. It features a 3-stage crushing circuit with high-pressure grinding roll along with a heap leach circuit for lower grade material. It is as simple as it gets. No autoclaves, no double refractory ore and so many of the others that is common in Nevada. So I'm sorry to say it's just a very simple project. This will be a conventional open pit operation using large-scale equipment. The fleet will include electric rope shovels with 60 cubic meter buckets and ultra-class haul trucks. Our pit phasing is designed to target higher value near surface material early in the mine life to accelerate payback. The width of the ore zones and simple pit geometry will allow for wide mining benches and highly efficient, straightforward mining layouts. Let's look at some of the main highlights of the study, noting that a lot more detail will be available on March 26 when we release our technical report summary. We start with the initial probable mineral reserve of 4.9 million ounces for Merlin, calculated at $1,950 an ounce. That's 88 million tonnes at 1.75 grams per tonne. We expect to produce roughly 4.5 million ounces over an initial 9-year life of mine. Average production is around 0.5 million ounces, though with this edging up towards 800,000 ounces in the early years. We estimate cash cost of around $780 an ounce, all-in sustaining at $950 an ounce. Initial project capital is estimated to be around $3.6 billion, noting that normal margin of error for a PFS stage study. Even using only the initial reserves and at long-term prices, which allows us to make an economic case and to move ahead with permitting, returns at this stage are well north of 20%. Obviously, as we will see in the next slides, the total returns of the project will be much, much higher. When you factor in spot prices, okay, well, obviously, the returns are higher. When you consider the full resource potential, they're higher again. This project has, by almost any measure, the potential to be a defining asset for us and for Southern Nevada because the Merlin reserve is mainly oxide, it avoids the technical complexity and the risk of refractory processing. Crucially, feasibility level environment, hydrological and community baseline studies are already underway. This would be a highly competitive asset even with only the initial reserve and mine life. But while the 4.9 million of reserve is impressive on its own, there's an additional 6.5 million of mineral reserves at Merlin, and we are actively exploring the potential conversion in additional reserves. Actually, we plan for this year to target an additional 1.4 million ounces in line with the online drilling program and then significantly more in the years ahead, both from our defined resource base and from the ongoing exploration campaign in the area, which remains incredibly prospective. And by the way, all of these bubble charts that you see, we wouldn't envision at this stage additional CapEx required. We are essentially drawing from our current record cash flows to invest in a marquee asset to anchor our portfolio well into the 2050s. With that, I will hand over to Gillian to walk through our record financial results and how our robust balance sheet supports this growth.
Gillian Doran: Thank you, Alberto. Strong cash conversion was a feature in 2025, ensuring the stronger gold price translated to record free cash flow of $2.9 billion, almost 3x the $956 million generated in 2024. This increase underscores both our improved quality of earnings and stronger operating leverage where the business is converting the better price and operating performance into cash at a significantly higher rate. It also reflects a sustained deliberate focus on cost discipline, working capital management, capital allocation, reinforcing our ability to generate cash through the cycle. In 2025, our cost profile remained under pressure. The tailwind offered by lower energy prices with oil down around 14% year-on-year was offset by realized inflation across our operating footprint. The standout feature of the year, of course, was the step change in gold price, which averaged $3,468 an ounce, a 45% surge over the 2024 average. This change represents a fundamental upward shift from the $1,800 to $2,400 an ounce range we've seen over the last number of years. Production increased 16% year-on-year to 3.1 million ounces in 2025, reflecting solid execution across our core assets. Managed operations were up 19% to 2.8 million ounces, driven mainly by the addition of Sukari and a 20% increase from Obuasi. Geita, CVSA and Siguiri also contributed, and this was partially offset by Iduapriem, Sunrise Dam and the removal of MSG from the portfolio. Cash costs from our managed operations were 5% higher at $1,252 an ounce, mainly due to higher royalties and inflation, both market-driven factors outside of our control. Nonetheless, costs were well contained through disciplined cost management, the benefit from Sukari and the continued delivery of full asset potential initiatives. ASIC for managed operations rose 5% to $1,751 an ounce, reflecting planned reinvestment in sustaining capital, partially offset by higher gold sales. 2025 was a record year, delivering a step change in performance and translating operational execution into record cash generation. Earnings and free cash flow more than doubled, reflecting the 16% increase in production and a 45% increase in gold price. Adjusted EBITDA was up 129% to $6.3 billion and basic earnings of $2.6 billion were up from $1 billion in 2024. We saw a 143% increase in net cash from operating activities to $4.8 billion, even after accounting for higher taxes, flowing from increased profitability. And as previously mentioned, free cash flow was up almost 3x to $2.9 billion, even after funding all CapEx and distributions to our JV partners. Our balance sheet was -- has been well and truly transformed. We entered 2026 with almost $1 billion in net cash, a big turnaround from the $567 million of net debt a year earlier. Our focus is unchanged, maintain discipline, drive operational improvements, maximize cash conversion and ensure high-quality returns through the cycle. Let's have a quick look at our guidance scorecard for 2025. This performance demonstrates the consistency and discipline of our operating model across our 10 assets. We again delivered within guidance on the 2 core benchmarks of reliability, gold production and sustaining capital. While AISC and total cash costs were marginally above the guided range, the variance was driven by higher royalties linked to higher gold price. We successfully managed controllable inputs, maintaining operational delivery and protecting our competitive position despite industry-wide headwinds. Message is straightforward. We delivered on our commitments, stayed disciplined on capital and further strengthened the resilience of our business. We are clear about isolating the controllable elements of our cost base. This transparency allows us to drive better cost performance. In 2025, cash costs were 7% higher at $1,242 an ounce. That increase was driven mainly by market factors outside of our direct control. Inflation, higher gold price-linked royalties, fuel and exchange rates collectively added around $86 an ounce or 7% to that cost base. In addition, the $12 an ounce added by the plant stoppage during Q3 at Siguiri was partially offset by better productivity at Tropicana following the 2024 rainfall event. Our managed operations worked really hard to improve the controllable areas of their cost base. Disciplined execution, operational excellence and the full asset potential program helped to deliver a roughly 1% productivity benefit. This was achieved through higher throughput, better utilization and stronger operating routines. Volumes from Sukari provided another positive tailwind. We remained focused on converting a higher gold price into free cash flow. And in 2025, we did exactly that. We see in the green bars, the price uplift of $3 billion and the higher gold sales volumes of $1 billion. This was primarily from Sukari's inclusion and strong cash flows from Kibali and the ongoing focus on managing our working capital. The result is clear when you look at the improvements in free cash flows. This came despite higher operating costs driven by a combination of higher volumes, inflation royalties, some higher contractor rates and also higher taxes from higher profits. In addition, capital spend stepped up as planned, driven by Sukari's inclusion in the portfolio. Dividends paid to noncontrolling interests were also $517 million higher year-on-year, again, a feature of Sukari's full year inclusion. The net of these factors was a record free cash flow of $2.9 billion in 2025. In 2025, we generated cash flows from operating activities of $4.9 billion. This cash enabled us to reinvest in the business, strengthen the balance sheet, meet obligations to our JV partners and return value to our shareholders. We invested in sustaining capital of $1.1 billion and $459 million in future growth opportunities. $588 million was returned to our noncontrolling joint venture partners and $953 million was used to strengthen the balance sheet as we moved into a net cash position. As Alberto mentioned, we declared an interim dividend of $875 million or USD 1.73 per share for the Q4 2025 period. This payout comprises 50% of free cash flow and an additional amount of $350 million, providing additional direct returns to shareholders and highlighting the continued confidence in the outlook for our operating performance and free cash flow generation in 2026. This takes the total dividends for 2025 to a record $1.8 billion or USD 3.57 per share. At year-end, we had $4.4 billion in liquidity, comprising of $2.9 billion of cash and cash equivalents and the balance of undrawn facilities in our bank accounts. This balance sheet strength has been achieved while investing in safe, stable production, confidently driving projects through our growth pipeline and providing record returns to shareholders. Let me now take you through our 2026 outlook, which is anchored in a portfolio that is performing, supported by a clear operating plan and disciplined value-led investment. For 2026, we are guiding group gold production of between 2.8 million ounces to 3.17 million ounces. Total cash costs for managed operations are estimated to be between $1,335 an ounce to $1,455 an ounce. This reflects a realistic view of the operating and macroeconomic environment with the increase for next year comprising around half in royalties and half from expected inflation and foreign currency exchange movements. The guidance comes in a year characterized by higher material movement across both underground and open pit operations. At the same time, we're investing to further strengthen the business and to unlock value. Sustaining capital for the group is guided at $1 billion to $1.14 billion. Our continued enhancements of and investments in the Sukari operations are anticipated to maintain the sustaining capital expenditure at our managed operations broadly in line with 2025 levels. This is deliberate and value accretive, supporting reliability, improving operational flexibility and advancing full asset potential program initiatives that are expected to drive productivity gains late from late '26 into '27. We are guiding group nonsustaining capital of $785 million to $835 million. In 2026, the key areas are Nevada, additional waste stripping at Sukari and tailings storage facilities at Obuasi and Siguiri, all focused on safeguarding the operating base, creating the flexibility to unlock future production and manage our risks responsibly. Looking into 2027, the continued ramp-up at Obuasi underpins the uplift in production ounces, while unit costs remained flat in real terms, reflecting the benefits of our cost leadership and productivity programs. We are not relying on the gold price to carry performance. We are building structural competitiveness. Capital allocation remains disciplined. We expect sustaining capital to remain broadly consistent with 2025 and 2026 to support safe, stable operations while nonsustaining capital increases as we begin the construction of the North Bullfrog project. This is exactly how we allocate capital, protect and sustain the base, then invest selectively in the highest return growth opportunities, phased prudently, executed rigorously and aligned to long-term value creation. Overall, this guidance reflects a business with strong operational momentum, clear investment priority and continued commitment to cash generation, competitiveness and disciplined growth. I will now pass back to Alberto to dive deeper on our 2026 focus.
Alberto Calderon: Thank you, Gillian. 2026 is about disciplined execution. In a strong gold price environment, discipline matters more, not less. Our focus is simple: Protect margins; allocate capital rigorously; and strengthen the portfolio. We remain focused on cost discipline and operational excellence across the portfolio. Through full asset potential, we are systematically looking for ways to offset inflationary pressures and royalty increases, particularly labor, energy and consumables. We are increasing the production contribution for our Tier 1 assets, which structurally lower our cost base and improves margin resilience. Active portfolio management remains core. We've been active in this area, and we'll continue to optimize capital allocation towards assets that generate superior risk-adjusted returns. Sustaining capital is about protecting safety, reliability and asset longevity. We are appropriately capitalizing our assets to ensure safe, stable and sustainable operations. We continue to invest in mineral reserve development to increase operational flexibility, particularly in complex ore bodies. Reserve replacement remains fundamental, sustained reserve growth underpins long-term value creation. Growth capital is focused on high-quality, long-life projects, particularly in Nevada. These projects enhance jurisdictional quality and portfolio resilience. We are creating flexibility for life extension and brownfield growth across the portfolio by building new tailings and opening land to extend our mining operations. We are prioritizing short-cycle, high-return organic projects that strengthen free cash flow generation. Operational excellence alone is not enough. Social and regulatory stability are equally critical. We remain deeply committed to our host communities and governments where we're providing real-time benefit from the higher gold price through taxes, royalties and meaningful participation in the value chain. In this slide, we highlight an emerging picture of low-risk, capital-efficient and very high-return opportunities in our current operation footprint. It underscores what I've said repeatedly that the best opportunities for us lie within the capital we're deploying today is funding low-risk, high-return projects at our current mines. These options have the potential to add between 10% and 15% of our current production profile during the next 3 years. We'll talk much more about this in detail in the second half of the year. As previously mentioned, at Geita, we're advancing a project to lift throughput in the mill and increase production by around 20%. At Sukari, the capital we're spending on accelerated waste stripping and fleet upgrades will underpin a potentially significant mining expansion, coupled with processing improvements like a new gravity circuit and absorption tank to boost recoveries. This will provide a healthy step-up in production. We are seeing similar organic growth across the rest of the portfolio. At Siguiri, we're evaluating the potential to combine some of our existing dormant pits in Block 1 with the ramp-up of production from Block 3 to bring this asset with its exceptional geology into the Tier 1 category. And at Cuiaba, accessing the high-grade Viana ore body is a relatively straightforward opportunity to appreciably improve production. This is what disciplined capital allocation looks like, taking part of our record free cash flow and reinvest in low-risk, high-return opportunities that will optimize the value we can deliver from our world-class ore bodies. All of these growth projects will have a project management office and a VP growth dedicated to these organic projects for the next 3 years. We are prefunding the health and expansion of these assets today, ensuring they remain highly profitable cash generators well into the 2030s. We made steady progress narrowing the rating gap relative to our North American peers. This hasn't been about addressing a single issue, but rather a comprehensive plan over a number of years to strengthen every aspect of the business. Our fundamentals are robust. The portfolio is performing and the outlook is bright. We're delivering on our commitments, achieving consistent operational improvements, enhancing returns and positioning the company for sustainable growth. And importantly, the higher gold price has flowed on to the bottom line. This has generated the highest free cash flow yields in the industry or one of the highest. As you assess our valuation metrics, we believe AngloGold Ashanti represents a compelling investment proposition, as you can see clearly in the graph. Strong cash generation, disciplined shareholder-focused capital allocation, market-leading yield and a valuation that offers clear upside potential. With that, I'll take your questions.
Operator: [Operator Instructions] Our first question from the line comes from Adrian Hammond of SBG Securities.
Adrian Hammond: I have a few questions. I'll list them in order. Firstly, the payout ratio is obviously welcome, certainly exceeded your current base policy by margin. Given where gold prices are, I get the sense that higher payouts are of the order of the day. But it's -- the question is where does this stop? Because at spot prices, you're going to generate significant amounts of money that you may not have a use for. So should gold prices stay where they are, what should we be modeling in terms of payouts? Is 60% sort of the new benchmark for yourselves at spot? Or should we expect even higher payouts? Secondly, on Slide 28, the organic growth options, I wonder if you can unpick that a bit more clearly. Just to confirm, you're saying 10% growth on your base, so 300,000 ounces. And then correct me if I'm wrong, 100,000 from Geita, I assume that's from 2028, 100,000 from Sukari, when do you expect that? And then, I guess, the balance for Cuiaba and Siguiri?
Alberto Calderon: Thank you, Adrian. As always, very good questions, and I probably can answer half of them. So look, the payout ratio, it is one step at a time. We've done it. We -- this is just an indication of how we think about things but I don't want to get ahead of myself. Again, we don't know the gold price where it's going to be. So this is just a commitment that if we have very gold prices, we will do something and we will explain what we're doing with it. So in the end, this is more symbolic. The 300 additional million was just, okay, we're going to get down to net zero at the end of '25. And yes, we'll see what happens. As you know, in -- we have several options in how to deal with capital. So we'll be considering them and you will know of it. What we won't do is tell you every quarter what we're doing with the money. But I don't want to anticipate if the spot at this stage, I would just leave it there. On organic growth, we struggle a bit with saying because we were significantly increasing investment in growth capital. So we wanted to say that. But really, we will come with a very detailed of, as I said, asset by asset. And it's going to be those 4 plus Obuasi. The 10% to 15%, I would calculate it over the 3 million ounces. So yes, that's between 300,000 and 450,000 ounces by the third year. So we will give you lots of detail in this year, I think in the August, that's what we're planning. But we're very excited by this. And as I said, it's going to be Obuasi, it's going to be Sukari. It's going to be Geita, it's going to be Siguiri and it's going to be Cuiaba, relatively low sort of investments. You take Sukari, for example, which is a wonderful job that they did. We're increasing underground sort of movements from 1.2 million to 2.3 million higher grade ore. And hence, we're just planning on this to build an additional platform and obviously, additional mining equipment but we could do it through the same processing plant. And it has an impact of about 100,000 ounces. So I'll give you much more detail as we go through the year. But this is probably the most exciting project we have for 2026.
Operator: The next question comes from Josh Wolfson of RBC.
Joshua Wolfson: I noted this year, obviously, very positive initial reserve declaration, resources overall stayed stable. With some of the disclosures earlier on the call about reserve conversion of an additional 1.4 million ounces, how are you thinking about further expansion? How are you allocating exploration spending according to that?
Alberto Calderon: Okay. Well, I'll answer something, and then we have Marcelo Godoy on the call and I'll ask you to help me. But look, there's always a trade-off. You don't want to go too far advance again on resource. We already have resource for the next 30 years or something like that. So there's always a goldilocks point. And the same with reserves, you needed to find a limit and say, okay, this is where we're going to start. But it's obvious when you see the chart that when we talk about 9 years, it's not going to happen like that. We're going to obviously go very quick. We're going to head to about 800,000 ounces in the second or third year of production. And by then, we will be bringing other ore bodies into reserves and all of that. We do plan to add between 1 million and 1.4 million ounces in 2026. But Marcelo? What else?
Marcelo Godoy: Yes. Thanks, Alberto. One thing, when you think about Arthur, you should be thinking about the 12 million tons per year project. And that's what came out of the pre-feasibility study as an optimal size for the project. So any additional addition to the project, you should be using the additional life of mine in your models because that's what the project is really about is continuing increasing the life of the project but continuing to produce 12 million tons per annum. And obviously, there are constraints that made us arrive to that number. As you can see, we have lots of resources to produce at that production rate for multiple decades. and exploration keeps just on giving. And every time we drill, we find more resources, which from -- our focus now is to get the project going and as soon as possible. And that's what the exploration team is focused on.
Joshua Wolfson: Got it. And then a question on, I guess, the 2027 guidance. I noticed the company included or disclosed the capital associated with North Bullfrog in 2026. I'm wondering for the 2027 numbers, what's the proportion of capital at North Bullfrog? And then what's the company assuming in terms of the Ghanaian royalty outlook? Is there a change incorporated? Or is it the existing rate?
Alberto Calderon: So we're incorporating in North Bullfrog, I think, about $14 million for 2026. I'll get -- Gillian will help me with the rest. We haven't incorporated anything on the Ghanaian royalty. Again, we're having constructive conversations with the government. But at this stage, we will be premature. So Gillian?
Gillian Doran: Yes. So thanks, Josh. '27 million North Bullfrog is $320 million, and then we've got about $90 million for Arthur Gold in the guidance as well.
Joshua Wolfson: Great. And if I can tuck in one more. Just on the topic of M&A. On the disposition side of things, is CVSA still something that's under consideration? Maybe how are you thinking about that with significantly higher silver prices today? And then on the acquisition side, what's the current thinking?
Alberto Calderon: Thank you. Look, CVSA, it wasn't a secret that we were trying to have a sale process. But with gold prices between we started the process and then 6 months later, like everything had changed and silver, everything had changed. And so it just didn't make any sense for anybody nor for the buyer nor for us. The value of the asset, what's going to produce the cash flow in the next 3 years is extraordinary. I have to say the guys over there, it's an extraordinarily good team. There's a standard joke that they're so far away from corporate that they produce -- they're even better because nobody bothers them. So they are very, very good. And they have extended the mine life. We haven't declared it. So I know but they even managed to extend into the 2030. So we're happy owners with them. They do a very good job. And yes, the silver price and gold price for the next time has changed our vision. So we're happy to keep it at this stage. By the way, the government has done an extraordinary job. That was also the issue in the past that we couldn't get the cash flows. Now it's like we're getting the cash flows out, looks like a developed country. Hopefully, Mile will stay there for a while. And then on M&A, what you just heard us on our organic growth. It's -- we have such good opportunities. Obviously, the B team always looks at things but I've said it in the past, it's hard to pay a premium and still add value. Our criteria is always the same, add value, net asset value to the company. And so yes, they still do the job but I would say 99.9% of the company is focused on that organic growth.
Operator: The next question comes from Patrick Jones of JPMorgan.
Patrick Jones: I appreciate your comments earlier around the predictability of the dividend policy. But obviously, as I said, there's no buybacks this time, but it did make an appearance again in the shareholder return slide. So I guess my question is, what constitutes the comment you gave was around you will consider buybacks and the supportive market conditions there on the slide and what we're going to get the Board to shift its thinking from dividends to buybacks.
Alberto Calderon: Okay. Look, we this is something that we reassess. It's part of the book of buybacks, dividends, debt reduction. So this is part of the book. And we always contemplated at this stage, in this case, it was like we have a very good dividend. It's the most generous dividend policy. We're very flattered that several of our colleagues have -- competitors have copied it exactly. So that's a sign of flattery. But at this stage, we're happy where we are. So we'll just take it, as I said, one step at a time. It didn't make any sense for $300 million to do a buyback. So it was clearly a supplementary dividend. We will take it one step at a time, and we will be explaining what we do with the cash in every quarter.
Patrick Jones: And maybe just a follow-up question then on Arthur. Obviously, it's shaping up to be an incredibly impressive project. But can you talk through what's kind of the eventual permitting and development timelines, the first output, particularly in light of the comments around North Bullfrog CapEx coming up?
Alberto Calderon: So the permitting for Arthur, it's always -- a lot of it is under our control. What we can say is we will seek this FAST Track 41 process, there is incredible support, both from the national government and from the state government. So we have made with the NPO a lot of good progress. And -- but we don't want to give you timelines because it's always so many things out of our control. But we're quite encouraged, as I said, by the support. Marcelo, anything you can add, please?
Marcelo Godoy: Yes. Look, we do -- I mean, we don't have exact times at the moment, but what we can tell you is that we want to have the rod before the end of this decade, and we will be producing in the beginning of the next decade. So that's the rough time lines we have at the moment, capitalizing on this fast track process for the NEPA process.
Operator: The next question comes from Tanya Jakusconek of Scotiabank.
Tanya Jakusconek: Just wanted to start, Gillian, with you, if I could. Just to make sure I understand. So this dividend still the base of $0.125 and the top-up up to 50% of cash flow. Is that now still going to be done quarterly? Or is that top-up still going to happen at the end of the year? It's just we had it quarterly before, and I'm just confused when this top-up happens.
Alberto Calderon: So I'll start on that one. Just -- look, the policy is that we pay at the end of the year because the spot price was so high last year. Well, those were the decisions to just say, okay, well, there's a lot of cash accumulated and let's do it by quarter. So I would assume if the spot price stays where it is, probably the Board will consider that again. But the policy is still that we only pay the 50% at the end. So we will take it quarter-by-quarter, Tanya.
Tanya Jakusconek: Okay. Fair enough. And just coming back, if I could, to Gillian again on the capital, still on the guidance, you mentioned some big project capital. I guess Nevada, I think, Siguiri, Obuasi. Can you just go through the growth capital, the big chunk for '26 and '27?
Gillian Doran: Yes, sure. I think -- so I think it's easier to maybe cover '27 first, given I've already talked about the Nevada element. So there's just over 400 between North Bullfrog and Arthur. We then always have the sort of need to continue to invest in tailings facilities. That takes up an amount across the portfolio. So we've got tailings management at Kibali, Siguiri, Obuasi, Iduapriem, Geita. So absolutely across the portfolio. And then there's some other capitalized open pit waste at Sukari that you're aware of. We talked about it last year. There's a sort of a 3-year stripping campaign for Sukari. I think then if you think about, what does that look like for '26, we have lower than that spend for Nevada, of course, just given where the project phase is. And then you've got the same stripping campaign at Sukari and some investment in tailings and relocation. I think one thing to just mention on that sort of spend, particularly in 2026, it really is required to unlock that reserve growth and the volumes that Alberto spoke about a little earlier on. So maintaining safe tailings facilities and making sure we are relocating communities, et cetera, to be able to unlock that value is a sort of a focus for '26 and beyond.
Alberto Calderon: I'd just add quickly. There's $70 million on growth on Kibali, which I think is welcome. I think they're finally facing the gut of facts, and it's good that they're investing in the growth of Kibali. So that is significant. And then yes, the rough numbers in my memory is like $120 million for all these tailings in different projects. It's about $45 million on Cuiaba. That's for the growth project that we talked about before. Nevada is about $145 million. So there, you're up on that would explain a lot of the growth.
Tanya Jakusconek: Yes. Okay. Great. And I'm going to have my next question come to Arthur, if I could. And I don't know who would want the maybe Alberto or you Marcelo, may be one of you can just walk us through what you can control, which is the next steps are drilling, then maybe when the feasibility study is coming out. And then obviously, your -- when do you expect to hand in your EIA so that we can understand what you can control. And over this period, Marcelo, do you think we can move the overall resource to 20 million ounces from close to 16 million?
Alberto Calderon: Marcelo will help us with this, but just we can't pinpoint. We don't want to commit on timing because it's not in our control. But the rest, I think Marcelo can help you.
Marcelo Godoy: Yes. Look, we are going to start the feasibility study in Q2 of this year. So that's where we plan to do that. And the federal permitting is something that we are going to be starting in Q1 2027. That's -- we have control over those dates. Now the end of those process is something that we don't necessarily have control. That's why Alberto is not giving more information on that.
Tanya Jakusconek: Yes. No, no, that's fair enough. I mean you control your feasibility study, you control your drilling. I'm just trying to understand what you control, what the time line that you have in place and when you submit the EIA.
Marcelo Godoy: Yes. The feasibility study starting in Q2 2026, we intend to be finalizing that in Q4 2027. It's a normal timeline for a feasibility study of that size.
Tanya Jakusconek: And then you would hand in your EIA at the end of 2027 as well?
Marcelo Godoy: Well, the EIA you can start at the beginning of 2027 because it depends on the mine plan of operations, which is right now under development. So yes, we should be able to start that process in Q1 2027.
Tanya Jakusconek: Okay. And anything on the resource drilling over this period?
Marcelo Godoy: Look, I think at the end of the day, we want to convert as much as possible, Tanya, and 20 million would be great. But what we need to do now is just to get through the processing because we already have excellent grade and tonnage planning for the first 10 years of the mine. So everything that comes after that, we know it's there, but it's not our highest priority right now.
Tanya Jakusconek: No, I appreciate it, Marcelo. Just as a geologist, I look at the sections and the plan view and there's a lot more gold. When are we going to get it? I guess one has to dream. Second -- my last question is actually for Alberto, if I could. Alberto, in sort of your exploration and M&A outlook, we noticed that you keep investing in juniors. Your latest one was in Thesis Gold here in Canada. Maybe talk a little bit about how you're viewing that sort of approach to part of your M&A focus.
Alberto Calderon: Well, we have -- fortunately, we have Terry here who leads all of that. So I'll let Terry help us.
Terry Briggs: Thank you for picking up the investment in Thesis. We're really excited to work with Ewan and the team there as they advance the Lawyers-Ranch Project. But really, it's quite simple. We take a multipronged approach to growth. Alberto laid out a lot of the organic opportunities within our brownfield sites. We also have greenfields exploration, which led to the Arthur deposit, which is getting a lot of discussion. And we take strategic stakes in interesting projects as well as Alberto said, we continue to assess inorganic opportunities, too. So it's just another tool in our ability to maintain that we can have the most optimal portfolio going into the future.
Operator: Our next question comes from Rene Hochreiter of NOAH Capital.
Rene Hochreiter: Well done, very good results. Just a quick question. What was the reason for the negative geological model conversion at Geita? And is it likely to be a problem in the future?
Alberto Calderon: It was still a negative improvement. Again, I lost our COO because he's taking a plane. So we'll get back to you on that one, but it was still a net improvement. We improved 1.3 million ounces of net addition.
Stewart Bailey: And we'll come back to you on the specific answer.
Operator: Our next question comes from Joseph Reagor of ROTH Capital Partners.
Joseph Reagor: Most of mine have been answered, but just wanted to touch on Arthur. There's been some local opposition from a water standpoint in Nevada projects lately. Do you guys think that, that might have any impact on the decisions you make there? Or is it something you think you can easily mitigate by time of going into production?
Alberto Calderon: Look, there's been very constructive discussions that we've had. And actually, from the original project that we had in North, we reformulated significantly, and we have much less use of water. So we've heard and we've dealt with it, there's -- the whole project -- and Marcelo, again, I'll ask him again but there's all sorts of designs to minimize the use of water. But we're quite comfortable at this stage that we're going to be able to deal with all of these issues. But Marcelo...
Marcelo Godoy: Look, it is a desert, and we know that water is always going to be an issue but we have been managing. We have a multi-tier process to manage those risks related to water in the project. And we -- as Alberto said, we have very constructive relationship and collaboration right now with the NGOs to get to a common understanding of the water situation in the region. We have very sophisticated hydrogeological models for the region, and we believe that we will be able to overcome those issues.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now hand back for closing remarks.
Alberto Calderon: Well, thank you again, as always, for accompanying us. Look, we may become a little bit boring. We are predictable. We want to meet guidance. We keep with full asset potential. We don't have a program of the month every year. We'll keep doing that. For us, it's about safe, stable, consistent operations. And now we have a very exciting organic growth project that we'll be sharing with you. And yes, that's about it. We're just going to continue to do what we have been doing for the past years. So thank you all again.
Operator: Thank you, sir. Ladies and gentlemen, that concludes this afternoon's event. Thank you for joining us, and you may now disconnect your lines.